Operator: Good morning, ladies and gentlemen. And welcome to the Karora Resources Second Quarter 2021 Conference call. [Operator Instructions] As a reminder, this call is being recorded, Monday, August 9, 2021. I would now like to turn the conference over to Mr. Paul Huet, Chairman and CEO of Karora Resources. Please go ahead.
Paul Huet: Thank you, operator. Good morning and welcome to the Karora Resources second quarter conference call. It was certainly an exciting quarter for us with several new records on ounces produced, gold ounces sold, revenue and our cash position. Despite having the greatest quarter since acquiring Higginsville, one of the most exciting things we did in Q2 was deliver on our promise by announcing our multiyear growth plan. Here with me this evening in Perth is, Graeme Sloan, Managing Director of our Australian Operations. Other members of Karora executive team joining us on the call is, Oliver Turner, Executive Vice President of Corporate Development in Toronto.  This morning, we issued a news release outlining our results for the second quarter. Our MD&A and financial statements for the period ended March 31, 2021 have been filed, all of which are available on the Karora website and under Karora's profile on SEDAR. Just bring your attention to slide 3 and 4 before I begin the presentation, I'd like to remind you to please review our cautionary statement regarding forward-looking information and non-IFRS measures, which can be found in our MD&A, news release and on our presentation slides. Over to slide 5 on our slide deck. I'm pleased to report Q2 has been another excellent performance for the company with record gold production as planned with an all-in sustaining cost that continues to trend towards the $900 per ounce. Alongside this production record, we have enjoyed some strong exploration results both from Higginsville and Beta Hunt, while maintaining a very high presence on safety at all of our operations. And for that I really want to personally take a moment and thank our GM, both Don and Philip, and so many other members of our team that continue to deliver despite the challenges we have. This is our eighth consecutive quarter where we have delivered at or above our guidance with a production of 29,831 ounces at all-in sustaining costs of $996 per ounce sold. This certainly positioned us well on target for our full year production and cost guidance. Our production was 105,000 to 115,000 ounce range, and then all-in sustaining costs $985 to $1,085 per ounce. It is this strong history of performance, our people and a strong balance sheet that forms the basis for the next and most exciting chapter for Karora in front of ourselves. The multiyear organic growth plan that we announced at June 28 will put us on a path to increase production between 185,000 to 205,000 ounces by 2024 at an all-in sustaining costs range of $885 to $985 an ounce US. This will elevate Karora into a new tier of gold producers which should be reflected in a higher share price, and market cap should all things remain equal. On slide 5, you can see our three year production costs and capital guidance as we execute on the growth plan. Our entire strategy is about keeping it simple. We're going to take something we've already done and repeat it. It's no more complicated than two years ago, at Beta Hunt we struggled to get 37,000 tonnes out from the main ramp. Today, we consistently deliver 80,000 tonnes per month from that ramp and the infrastructure. Putting in a second decline will double those tonnes to approximately 160,000 tonnes per month. We already have stopes in areas underground to mine; all we need is that second ramp. At this stage Beta Hunt is the main component of our production expansion. However, it's important; we were very encouraged and excited about how much this could change from the $80 million we intend to drill between now and 2024. That's a very important metric for us. We have tremendous upside and targets that could be very much expanded at Higginsville from our drilling campaign. And look, let's never forget the opportunities we have discovered from nickel potential and Graeme will speak more to the production later in the slides.  Our growth plan includes a carefully phase spending program based around the Higginsville mill construction and expansion and the second decline at Beta Hunt. As previously announced, our growth plan is fully funded from existing cash and from future cash flows. After two aggressive transformational years, we are now on the cusp of several exciting years of growth. We look forward to demonstrating our ability to deliver in the future, just as we have in the past. Over to slide 6, I just wanted to take a moment to discuss several of the key important financial metrics. Our second quarter revenue is very strong, approximately $70 million. That's up $10 million, or 17% higher than Q1. Our second quarter adjusted earnings were $14.3 million, or $0.10 per share. That's again a 76% improvement over the first quarter where the adjusted earnings in Q1 were $8.1 million or $0.06 per share. As I previously stated, our cash balance at the end of Q2 was the strongest ever closing at $82.2 million, the record high and 7% up compared to Q1.  So in closing before I pass it over to Graeme, I'd like to take this opportunity to acknowledge the performance of our operating team in executing a remarkable turnaround at Karora in two short years. This has put us on a very strong operational and financial position that has provided us the platform from which to launch our growth trajectory. Over to you, Graeme.
Graeme Sloan: Thank you, Paul. If you would move to slide 8, as Paul has mentioned the very strong quarter, where we saw our key site metrics continues to trend down. Our all-in sustaining costs doing the same and record quarterly goal production. We achieved this despite high levels of rainfall late in the quarter, and it continued tightening of the labor market on the back of COVID. On a consolidated basis, mine production was just over 400,000 tonnes, an increase of 6% on the previous quarter; we processed 345,000 tonnes at an average grade of 2.7 grams per tonne, with new recoveries remaining consistent at 94%. A direct result of optimizing Beta Hunt and Higginsville feed into the plan. At Higginsville, we mined a total of 189,000 tonnes of 1.6 from Hidden Secret and Baloo Open Pit and milled 124,000 at two grams, a 27% grade improvement compared to quarter one. Rehabilitation and dewatering activities continued at Two Boys underground. Whilst Aquarius, the box cap is mostly complete, with ground support installed as part of the porter works. Declined development at Aquarius is expected to commence later this quarter with first production in quarter four.  At Spargos, good progress has been made with a large part of the pre strip operations now complete and the mining of low grade material to commence later this month. Higher grades are expected as mining progresses in the first half of 2022. If you move on to slide 9, Beta Hunt underground production contributed 64% or 2,21,000 tonnes of the total tonnes milled for the quarter with just over 22,000 ounces of gold. The improved mine production at Beta Hunt is a direct result of the ongoing upgrade of the mining fleet and improve production techniques in the stock. With respect to nickel, we recently added a dedicated nickel team to advance nickel exploration and to examine ways to expand nickel production. As you are aware, nickel is an important byproduct, especially in the reduction of our all-in sustaining costs. Nickel exploration is currently focused on the 30 and 50C nickel troughs. Slide 10. Building on Paul's comments on our organic growth plan, Beta Hunt is clearly the backbone of our expanded production. Slide 10 shows a schematic view of the second decline, when in full production mode this rigs in 2024, each decline will have the haulage capacity of 1 million tonne per annum for a combined production rate of 2 million tonnes. To process this level of production plus the additional from Higginsville will require a significant expansion of the Higginsville mill to the 2.5 million tonnes per annum. Slide 11, the Higginsville Phase 1 expansion will take mill throughput to 1.6 million tonne per annum. This work is mostly complete with the final adjustments to be made in quarter four. Phase 2 will see the plant expand to 2.5 million with final design and long late orders scheduled to commence in early 2020. The 1.6 to 2.5 million tonnes capital cost is expected to be around $15 million, however, spread over 2022 and 2023. The expansion program includes the addition of a new SAG mill, and extension of feed conveyor. Repurposing a section of the crushing circuit as a pebble crusher. Additional leach feed screens, CIL tanks and new thickener. Upgrade to the process water plant, tails pipeline and other infrastructure. The existing ball mill recently upgraded gravity circuit and elution columns to be utilized in the expanded plant. Plant design and the identification of the long lead items is progressing as planned. On slide 12. As previously mentioned, Karora has numerous resource and exploration high value opportunities, all at various stages of progress across Higginsville and Beta Hunt. To advance and unlock this value, we have allocated an annual budget of $20 million to $25 million commencing 2022 to 2024. At Beta Hunt, we currently have three drill rigs operating, two underground and one surface. With the underground rigs aimed at extending the Western Flanks and A Zone Resources and continuing the testing of Lake Cowan. At Higginsville, for the majority of quarter two, we operate three full time drill rigs, we currently have five and we'll be looking at to add additional rigs over the remaining second half. Most of this drilling is aimed at resource development in and around Higginsville Central. However, we will follow up on the Lake Cowan project where we intersected the 1.4 grams over 50 meters in the scout drill program. Laboratory turnaround time for samples remain a significant regional challenge with third party laboratories all at full capacity. As a result, we have commissioned our own lab facilities to address quicker turnaround of mill samples and high priority grade control samples, with the remainder still sent to other labs. In conclusion, quarter two was our best operating quarter-to-date. And we look forward to the delivery many more as we embark on our new growth trajectory. I'll now turn over to Oliver Turner. 
Oliver Turner: Thanks, Graeme, and good morning, everyone. With our growth plan announced to the market as outlined by Paul and Graeme, we set the stage for grow Karora to grow organically towards the next tier of gold producers and our growth plan to 200,000 ounces per year. This puts us into very strong company as outlined on slide 14 for the 200,000 ounce per year peer group trades at an average market cap of over $1.2 billion. In our extensive marketing with institutional investors over the last quarter, the two areas which are continuously flagged as differentiators are ability to self fund this growth. And the low risk jurisdiction in which it will be executed, Western Australia. These are two important differentiators of this plan that are not shared by all of our peer group. At our current market cap of approximately $510 million and with this plan we have now laid out ahead of us, Karora is certainly a compelling investment. Moving over to slide 15. During the quarter, we also announced a pioneering initiative to begin to address our greenhouse gas emissions via a partnership with the Net Zero Company. This partnership will enable us to be proactive and what is becoming an increasingly important component of the mining industry's ESG program, both with respect to investor interest, and helping to tackle the impacts of climate change. We are proud to be one of the first junior gold mining companies to drive progress in this area. Over the second quarter proved to be a challenging period for the entire gold sector with respect to equity performance, however, with our growth plan rolled out to the market and several other important announcements on a relative basis, Karora performed well compared to the broader junior gold producer group.  Moving forward into what is seasonally a stronger period for the gold market as we enter the fall, we will continue to deliver on our strategy while providing material updates to the market over the remainder of the year. And with that, I'll turn the call back over to Paul.
Paul Huet: Thanks Oliver. Look, there's no doubt we've just had the best quarter in the company's history, approximately a 20% increase from quarter-to-quarter. And we've been averaging right around that 25,000 ounce quarter for the last seven quarters. So this step up was very significant for us, a 20% increase and we have many people to thank for that. I really want to send a special shout out to our entire team. In Australia, overcoming all the challenges we've had to deal with COVID, like others, the rain, everything, and it's impressive to be here on the ground, and see the sacrifices and the willingness of our team. So to Graeme and everyone, I'm extremely proud of what we're doing here. With so many companies in Western Australia reducing guidance, we've actually announced a multiyear plan that could double our guidance or double our production sorry, not our guidance by 2024. So very exciting times for us and our shareholders. I want to take a moment to thank our shareholders for their ongoing and continued support. We certainly appreciate our shareholders. And I want to thank everyone for joining us on the call today. We know and realize how busy people are and taking time to listen to our call is very much appreciated on what was a very transformational 2020. We're certainly excited about what the rest of 2021 looks like. And we'll throw it over for call for questions. 
Operator: [Operator Instructions] Your first question comes from Tom Gallo, Canaccord Genuity.
TomGallo: Thanks operator. And thanks for taking my question today, folks. First of all, congratulations on the first quarter. I do have a question pertaining to some of the capital spending but first something that was mentioned in the press release that caught my eye and a couple times on this call was the rain in the quarter. Could you provide a little bit more color and detail on what was going on with the rain and did any of that spills into this current quarter?
PaulHuet: Hey, Tom, thanks for the questions. This is Paul here. I'm sitting right next to Graeme here. So he's jumping up a bit to answer that. I'm going to let Graeme, go ahead Graeme.
GraemeSloan: Yes, Tom, thanks for the question. Look, the rain came pretty late in the quarter. So it was sort of more of the latter part of the impact of the -- and impacts both the open pits and the mill throughput and the mill throughput mainly because of the haulage from the different sites we bring into the Higginsville ROM so that started to have a disruption latter quarter. We still ended up as you say with a record production. That will flow into quarter three but again, being early in the quarter, we have the ability to sort of make that up. So I don't expect to see any material sort of disruption to production in quarter three from the rain.
PaulHuet: So Tom, just from my perspective, it's my first July ever spending in Perth, I must have had 20 people walk up to me and say, this is never happened before. So we've done a bit of research, it sounds like July was the worst, ever amount of rain in 26 years in this district. And as Graeme said, it does impact the open pits that we have. But we, again, we overcame it with tonnes were down, but we made our ounces. And we did as we plan. So there certainly was a lot of rain from an outsider, for the first time here in July in what was supposed to be next to the ocean zone. It was quite interesting from my perspective.
TomGallo: Oh, that's great. Thanks for clarifying that. As I mentioned, I did have a question on some of the capital spending in the quarter specifically, just breaking down between the sustaining and non-sustaining CapEx for Q2, maybe just a bit more detail on that, please.
PaulHuet: Go ahead, Graeme, take this one as well.
GraemeSloan: Yes, Tom, look, just on the system on the CapEx sort of things, we spent around about the $10 million in sustaining and non-sustaining and then plus another, around $12 million to $14 million on capital development and capital and operating development at Beta Hunt and Higginsville. So all up, we've put in the exploration, which was, again, around $3.5 million to $4 million, we were up to close to $25 million for the quarter on capital, if I sort of look at that, that would probably around sort of the 40% sustaining and remaining non-sustaining CapEx. So most of that CapEx was in around the sustaining was in around the work around the plant, upgrading the plant, it's all sort of maintaining the plant, and then the around plant and equipment. And then on the sort of the non-sustaining, we had quite a bit of work on ventilation at Beta Hunt. We also had some equipment come through a truck, a new truck, and two new loaders in the quarter. So that took it up to those -- that equipment was somewhere around the $4 million mark. And then we made a number of other sort of around the mill expansion and that we started work on that and the TSF. So all of those numbers, as I said, broken down into those sorts of categories, Tom.
TomGallo: Okay, and just to clarify for me, I know sometimes it gets confusing, where some pieces of capital go, but on the expansion, let's say from $1.4 million to $1.6 million. Are you guys classifying that in the growth category or is that sustaining or a little bit of both?
GraemeSloan: No, we - and most of that's in the non-sustaining, its long life plant upgrade. So it's takes it to that-- that's in that phase one, then second phase, Tom, which is I mentioned earlier on is somewhere in the $50 million mark, is we'll take it to that $2.5 million also non-sustaining. There is some plant and equipment that we have as normal maintenance on the plant. And as I said, that was quite small in this quarter, somewhere around the $2 million mark. But that was mainly for sort of some work or maintenance work on the crushers in the gravity circuit and things like that. So the majority of the work on the plant will almost always go to non-sustaining.
Operator: Our next question comes from Nicolas Dion, Cormark Securities.
NicolasDion: Hey, guys, congrats on another excellent quarter. I'm wondering if you've seen any improvement in labor market conditions in Australia. And also, if you could comment on some of the lingering effects of COVID for example, assay backlog and any inflationary pressures you're seeing. And we've been hearing about some of those -- that your peers this quarter. So wondering if you're seeing the impact of that as well. Thanks.
PaulHuet: Hey, Nicolas. Thanks for that. I'll go to your assay one first. Look, we anticipated for some time now Graeme and I actually talking in 2020. We were discussing how we can mitigate this assay turnaround that we all saw in front of ourselves. So, early in the year, in the first half of the year, we commissioned our own lab, our lab is up and running. We've been testing it against a commercial lab here for almost four months. And we're now free of the testing. So we're in compliance. So we've reduced a lot of our immediate sampling from our plant and production samples that we're doing in house now, freeing up some room in the lab, the commercial lab that allows us to send some more exploration stuff. So putting in that assay lab was very critical for us. And it's helped us significantly at getting turnaround time reduced, obviously, on our production stuff, and also, even to an extent on some of the exploration. So that's helped us a lot this year. With respect to people, look, we're not oblivious of it, we are suffering like others, we're very fortunate that we've got a very strong team that have been very loyal. We've changed a lot of this company; this company has gone from a company that had struggled two years ago to a gold producer with $80 million in cash that has a tremendous growth plan in front of itself, with a very strong team led by Graeme here and some strong GM. So we've got a good following. But certainly we're feeling no doubt the pinch here on labor, we, I read it every day on our peers, the iron ore is taken up, people were competing with other companies, all we have to do is continue to demonstrate that we're a good company, we pay our bills, we've got a great growth story in front of ourselves, and continue to treat our people well, and we'll overcome it. And again, being here on the ground has helped me even witness exactly how challenging it is. We've lost a couple of people since I've been here. But we've also attracted a couple of really good ones. So we're certainly aware of it and putting in some new systems into place right from the board. Actually, in fact, we just had a board meeting last week, we're talking about things to mitigate what we can do to attract and retain people long term, things that we're going to be adopting here this year in 2021. So we're facing it head on, we've probably got somewhere 60 to 100 people to hire in the next couple of years. And our HR department is being bolstered and we're starting to look for them now. So anyhow, hopefully that answered both your questions, Nicolas.
Operator: There are no further questions at this time. So I'll turn the conference back over to Paul Huet for final remarks. 
Paul Huet: Yes, look, I just want to repeat what I said a little earlier. I'm just really wanted to thank all our shareholders, every one of them. Thank you for being there alongside us. We certainly have some exciting times in front of ourselves. This multiyear plan is absolutely exciting with $80 million of drilling in front of ourselves. Anything can happen here in this district. So thank you very much for all your support. Thank you to our team in Western Australia, our entire Karora team and our Board of Directors who is always supporting us and has a great day and stay COVID free. Wishing you guys all the best. Take care.
Operator: Ladies and gentlemen, this concludes your conference call for today. We thank you for participating. And ask that you please disconnect your lines.